Operator: Good day and welcome to the 1-800-Flowers.com, Inc. Fiscal Year '19 Q4 and Full Year Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Joe Pititto, Senior Vice President of Investor Relations. Please go ahead.
Joe Pititto: Thank you, James. Good morning and thank you all for joining us today to discuss 1-800-Flowers.com's financial results for our fiscal 2019 fourth quarter and full year. For those of you who have not received the copy of our press release issued earlier this morning, the release can be accessed at the Investor Relations section of our website at 1800flowersinc.com. On our call today, we will begin with formal -- brief formal remarks and then we will open the call to your questions. Presenting today will be Chris McCann, CEO; and Bill Shea, CFO.Before we begin, I need to remind everyone that certain statements that we will make today may be forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These statements involve risks and uncertainties that could cause actual results to differ materially from those expressed or implied in the applicable statements. For a detailed description of these risks and uncertainties, please refer to our press release issued this morning as well as our SEC filings, including the company's annual report on Form 10-K and quarterly reports on Form 10-Q. In addition, this morning, we will discuss certain supplemental financial measures that were not prepared in accordance with Generally Accepted Accounting Principles. Definitions of these non-GAAP financial measures can be found in the Definition section of the company's press release issued this morning.Also where applicable reconciliations of certain non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the tables accompanying this morning's press release. The company expressly disclaims any intent or obligation to update any of the forward-looking statements made in today's call, any recordings of today's call, the press release issued earlier today or in any of its SEC filings except as may be otherwise stated by the company.I'll now turn the call over to Chris McCann.
Christopher McCann: Thank you. Let me begin by saying that fiscal 2019 was a very good year for the company. We ended the year with the plan to invest behind our lead brands to accelerate revenue growth, and we exceeded our goals, with total revenues increasing more than 8% to $1.25 billion. Our Gourmet Food and Gift Basket segment, we invested in digital marketing programs for Harry & David to build on the strong growth momentum we saw beginning in fiscal 2018, particularly in everyday gifting. As a result, Harry & David e-commerce business grew more than 9% for the year.In our Consumer Floral segment, we invested behind our 1-800-Flowers brand to take advantage of market conditions accelerate revenue growth. As a result, 1-800-Flowers revenues grew 9%, further extending our market leading position. We also continue to invest in BloomNet to capture more order volume and expand our offering of products and services designed to help professional florist grow their businesses profitably. As a result, BloomNet grew its revenues nearly 15% for the year, passing the $100 million milestone in gaining significant market share.Our results for the year across all our businesses reflect our continued focus in innovation and execution in our digital marketing programs, including our mobile-first strategy, our merchandising programs that emphasize new and truly original product development. And in the adoption of innovative technologies such as PWA, voice recognition and chatbots that help enhance our number one product, the customer experience. In addition to strong revenue growth, this focus along with the investments we made during the year, helps drive significant growth in our customer files.For the year, new customer growth across the enterprise was up more than 10%, reflecting double-digit increases for both Harry & David and the 1-800-Flowers brands. We also drove solid double-digit growth in membership in our Passport program and in multi-brand customers, which we define as customers who buy from more than one of our brands within the year. As we have noted in past calls, both multi-brand customers and passport members represent our best performing customer cohorts, with the highest purchase frequency, retention, and lifetime value metrics in our customer files. Importantly, we saw all these customer growth trends continuing and gaining momentum throughout the fiscal year. We expect to carry this momentum into fiscal 2020.Before I turn the call over to Bill for additional details of our financial results, I'd like to highlight a few of our key strategic initiatives in fiscal '19. In terms of technology innovations, during the year, we expanded our category leading position in conversational commerce, where we are now one of the few companies that has applications running on all five of the leading platforms, including Apple, Samsung, Facebook, Google and Amazon. We continue to roll out PWA technology across our mobile and desktop platforms, significantly increasing site speeds and enhancing the customer experience.We expanded our integration with SmartGift, a highly personalized experiential gifting feature that allows customers to notify their recipient via text, e-mail or any messaging platform that a gift is on the way. And then gives the recipient the option of modifying their delivery preference, further involving them in the total gifting experience. We launched an interactive telephonic virtual assistant, integrating artificial intelligence and human understanding to improve average speed to answer, and increase our already high customer satisfaction metrics. And we continue to test new technology innovations designed to help our customers express themselves, with the launch of smart message, an augmented reality gift messaging feature available in our iOS mobile app.In merchandising, we continue to focus on developing truly original gifts at both entry level and luxury price points. Some of the customer favorite hits, during the year include -- included the expansion of our Unicorn line based on the success of Enchanting Unicorn floral arrangement, including Magical Unicorn Truffle Cake Pops and the Dazzling Unicorn Food Bouquet. Our 1-800-Flowers succulents collection were a big hit with millennials, new flavor profiles including Cheryl's chocolate chip Brookie, a unique brownie-cookie combo. And the Popcorn Factory's Cookies & Creme and Texas Toast flavors, and the continued expansion of Harry & David gourmet line, including award winning Harry & David wines that customers have embraced for both gifting and home entertaining.We also introduced our enterprise wide gifts that give back collections. Support of our Smile Farms philanthropic initiatives, which is focused on creating meaningful employment opportunities for individuals with developmental disabilities. A program that we are proud to have founded and one where we are seeing exciting growth. And just this past week, we further expanded our celebratory ecosystem with the acquisition of Shari's Berries. As we noted in our press releases regarding the acquisition, Shari's Berries, a strong brand awareness as a leading provider of dipped berries and other gourmet treats. And we see it as an excellent fit in our all-star family of brands.I'd really like to take a moment to offer a shout out to all of the teams across our organization who work so hard to help us not only close this deal in record time, but to fully transition Shari's Berries onto our multi-branded platform, a truly impressive accomplishment that speaks to our culture of teamwork and our focus on execution.Now I'd like to turn the call over to Bill for more specifics.
William Shea: Thank you. As Chris noted, fiscal 2019 was a very good year for our company. And the guidance we provided last August, we said we were going to invest behind our brands to accelerate our revenue growth rate to a range of 5% to 7%. We increased our guidance twice during the year, as we saw our growth momentum building and openly exceeded our increased guidance with total revenue growth of 8.4%. We also provided guidance for bottom line results to be essentially flat, reflecting the investments we were making, as well as the catch up in year-over-year bonus expense. We exceeded this guidance with solid growth in EBITDA, EPS and free cash flow. This reflects the effective leveraging our business platform combined with a strong revenue growth for the year. As we begin fiscal 2020, we expect to carry over the momentum we have in our revenue growth and accelerate our bottom line growth.Breaking down the fourth quarter and full year results. For the fourth quarter, total consolidated revenues grew 12.8% to $259.4 million, reflecting solid growth across all three of our business segments and including the benefit of the Easter holiday shift. For the second half of the year, which combines our third and fourth quarters, eliminating the impact of the Easter shift, total revenues increased 8.4%. For the full year, as we already noted, total consolidated revenues also increased 8.4% to $1.25 billion.Gross margin for the fourth quarter was 40.6% compared with 40.5% in the prior period. Gross margin for the year was 42.1%, compared with 42.5% in the prior year, primarily reflecting higher hourly labor, particularly seasonal labor, which impacts us in the first half of the fiscal year. For the fourth quarter, operating expenses as a percent of total revenues was 45.2%, compared with 45.4% in the prior year period. For the year, operating expenses was 38.5% compared with 38.9% in the prior year. This was a nice accomplishment considering we were absorbing the investments to accelerate revenue growth and the catch up in the year-over-year bonus expense.Adjusted EBITDA loss for the fourth quarter was $2.7 million, compared with a loss of $1.8 million in the prior year period. This reflected the year-over-year marketing investments to accelerate revenue growth and the bonus catch up, which more than offset the benefit of the Easter shift. Adjusted EBITDA for the full year was $82.1 million, compared with $78.9 million in the prior year, primarily reflecting the strong revenue growth.Net loss for the quarter was $8.3 million or $0.13 per share, compared with a net loss of $8.2 million or $0.13 per share in the prior year period. On a comparable basis, net loss for the prior year period was $7.6 million or $0.12 per share. Net income for the full year was $34.8 million or $0.52 per diluted share, compared with $40.8 million or $0.61 per diluted share in the prior year. As a reminder, net income in EPS in the prior year, included a one-time tax gain associated with the Tax Cuts and Jobs Act. Therefore, on a comparable basis adjusted for the tax gain, fiscal 2018 net income was $29.3 million or $0.44 per diluted share compared with fiscal 2019 net income of $34.8 million or $0.52 per diluted share. Free cash flow for the year was a very strong $45.5 million.In terms of category results, in our Gourmet Food and Gift Basket segment, fourth quarter revenues increased 20.5% to $72.5 million, compared with $60.1 million in the prior year period. This primarily reflects the shift of the Easter holiday combined with strong every day gifting. For the full year, revenues in this segment increased 7.1% to $648.4 million, compared with $605.5 million in the prior year.Gross profit margin for the fourth quarter improved 200 basis points to 38%, compared with 36% in the prior year period, primarily reflecting combination of strategic pricing initiatives as well as efficient promotional programs. Gross profit margin for the year increased 30 basis points to 42.9%, compared with 42.6% in the prior year. Contribution margin loss for the quarter improved 21.7% to $6.9 million, compared with the loss of $8.8 million in the prior year period benefiting from the Easter shift. Contribution margin for the year increased 16.1% to $82.3 million, compared with $70.9 million in the prior year.On Consumer Floral, fourth quarter revenues grew 10.2% to $159.8 million, compared with a $145 million in the prior year period, reflecting a strong Mother's Day and every day gifting performance, combined with the benefit of the Easter shift. Gross profit margin for the quarter was 40%, compared with 40.2% in the prior year period. Contribution margin for the quarter was $17 million, compared with $16.8 million in the prior year period. For the year, revenues increased 8.8% to $497.8 million, compared with $457.8 million in the prior year.Profit margin for the year was 39.2%, compared with 39.7% in the prior year. Contribution margin for the year was $49.7 million, compared with $50.8 million in the prior year period, reflecting the marketing investments we made in the period to drive accelerated revenue growth, as well as the bonus catch up. We expect contribution margin in this category to increase in fiscal 2020, as we leverage the investments we made in fiscal 2019 and continue to drive strong revenue growth.In our BloomNet business, fourth quarter revenues increased 9.3% to $27.3 million, compared with $24.9 million in the prior year period. For the year, revenues increased 14.9% to $102.9 million, compared with $89.6 million in the prior year. Gross profit margin in the quarter was 50.1%, compared with 51.8% in the prior year period. Gross margin -- gross profit margin for the full year was 50.5%, compared with 54.3% in the prior year. The lower gross margin for the quarter and year reflect product mix, as well as the investments to accelerate revenue growth. Contribution margin for the quarter increased 5.4% to $9.3 million, compared with $8.9 million in the prior year period, and contribution margin for the full year increased 9.5% to $34.7 million, compared with $31.7 million in the prior year. We expect BloomNet to grow its revenues at a high-single digit pace in fiscal 2020 with continued strong bottom line contribution margin growth.In terms of Corporate Expense, category contribution margin results, exclude costs associated with company's enterprise shared services platform, which includes among other services, IT, HR, finance, legal and executive. These functions are operated under a centralized management platform, providing support services to the entire organization. For the fiscal fourth quarter, corporate expense, including stock-based compensation as adjusted was $23.9 million, compared with $19.5 million in the prior year period. For the full year corporate expense, including stock-based compensation as adjusted was $90.9 million, compared with $78.2 million in the prior year. The increase in corporate expense for the quarter and the year reflects the bonus catch up, higher stock-based compensation, health care cost increases, and investments in IT.Now turning to our balance sheet. At the end of the year, our cash and investment position was $172.9 million. Our term debt balance net of deferred financing costs was $97 million and we had zero borrowings outstanding under our working capital line within our revolving credit facility. As a result, our net cash position at the end of the year was $76 million. Inventory of $92.4 million, reflects our strategy to pre-build some holiday season inventory during our off-peak season using our core manufacturing associates and expanded cold storage capacity to somewhat mitigate the impact of the tight labor pool and rising labor rates. Also, worth noting is the fact that during the fourth quarter of fiscal 2019, we entered a new bank credit facility that provides more favorable terms, extends our term for five years and reduces our interest rate going forward.Regarding guidance, as indicated in our press release, we plan to continue to invest into strategic marketing and merchandising programs to take advantage of market conditions and to continue the revenue growth momentum that we are seeing across all three of our business segments. In addition, we expect to accelerate our year-over-year bottom-line growth as we leverage our operating platform. Based on these factors, our guidance of fiscal 2020 are as follows: total consolidated revenue growth of 8% to 9%, including approximately 6% to 7% organic revenue growth combined with the anticipated contributions from the acquisition of the Shari's Berries brand; adjusted EBITDA and EPS growth in the range of 8% to 10%; and free cash flow of approximately $45 million. We continue to target EBITDA of approximately $100 million for fiscal 2021.With that, I'll turn the call back to Chris.
Christopher McCann: Thank you, Bill. So to wrap up, we had a great year in fiscal 19. We ended the year with a plan to accelerate our revenue growth and we significantly exceeded our goal. We also exceeded our bottom line goals with EBITDA , EPS and free cash flow all significantly ahead of plan. We invested behind our lead brands, Harry & David and 1-800 Flowers and we drove strong revenue growth in both. Invested in programs to grow our customer files across the enterprise and achieved double-digit growth in new customers while concurrently deepening relationships with our existing customers. We grew our Passport program and the number of multi branded customers both key strategic priorities that provide a strong base for near and long term growth. We continue to invest and experiment with innovative new technologies.On the merchandising front, our focus on truly original product designs yielded multiple hits that our customers have embraced for their gifting needs. As we enter fiscal 2020, the investments we are making in these initiatives will help position us to continue our strong revenue growth and accelerate our bottom line results for the year. We plan to keep our foot on the pedal to continue to take advantage of market conditions and further expand market leadership for the 1-800 Flowers brand, continue to grow our market share for BloomNet and to keep our strong every day gifting momentum going in Harry & David and our other Gourmet Food and Gift Basket brands. Looking ahead, we are excited by the many opportunities we see to further expand our celebratory ecosystem and provide our customers with the innovative products and services that inspire more human expression, connection and celebration.Before, I turn the call over to James to begin Q&A, I'd like to take this opportunity to thank all of our associates across the company for their unwavering focus on our customers and enhancing the experience we provide them, for their hard work and dedication to constantly innovating and for their passion in helping our customers deliver smiles.James, will you please repeat the polling instructions for the Q&A section, please?
Operator: Thank you, Mr. McCann. We will now begin the question-and-answer session. [Operator Instructions] And we'll take our first question today from Dan Kurnos with Benchmark Company.
Daniel Kurnos: Great, thanks. Good morning. Just -- let's start with Sherry's, just a small housekeeping just to get it out of the way. Chris, you talked in your prepared remarks about getting on a multi-brand. Just how are you guys thinking about sort of the ability to grow that asset, return it to profitability and just the impact on margins over the next 12 months?
Christopher McCann: Sure, Dan. Thank you. We're very excited to have the ability to acquire Shari's Berries and we see this brand really as an excellent fit in our all-star lineup of brands. This acquisition, clearly, will help us further expand our authority position as a leader and what you see us, really growing in the gourmet food side of our business. So, we've already added several not just to the technology stack of our platform, but to the distribution capabilities of our platform. So it really was a great integration. When we closed last Wednesday and that afternoon, we were taking orders on our new platform. And for the most part, fully integrated.Our plan going forward really is to focus on improving the bottom line performance of Shari's Berries. So, we're going to eliminate a lot of the unprofitable marketing that we saw being done with that brand, some of the unprofitable marketing partnerships that were just focused on growth. I think we're going to focus on improving the product quality, moving the brand back into more of a premium brand. You'll see less promotional discounting from us than that brand is seen in the past as we position that brand more in line with our other gourmet food brands that you see today.So, as we get the business integrated, start to look at growing the business, look at the customer file. You'll see us manage that business and grow it similar to what we've done with our other brands where we look for growth opportunities in -- from each brand, profitable growth opportunities, but then also really leverage the platform, leverage our ecosystem, to the multi-brand customer introduction, utilization of our Passport program, etc. So, I think that's really, that is the strategy as we reposition this brand going forward.
Daniel Kurnos: Got it, that's helpful. So, Shari's -- if I read you right, if Shari's is not really a drag anymore, then let's just address kind of the elephant in the room on the forward guide, especially EBITDA, which is what's hurting you today. So, you guys have made several hundred millions of dollars of investments in tech in the last few years. Obviously, you guys have taken significant marketing share and accelerated your revenue. There's no doubt about that. You've got FTD, kind of, in pieces now, although there are some obviously, concerns that Nexus will be maybe a more rational and reasonable player against you guys. So just how do we view the long term, sort of, balance between growth? Do we return to a improving or a leverage situation you guys used to generate about, 30 basis points to 70 basis points of margin expansion a year? So how do we view that over, sort of, the short and the long term, especially with relation to your expectations for the competitive backdrop?
Christopher McCann: Yes. So as I think we look at the competitive landscape, we continue to believe the strategy that we're on is working very well. It's allowing us to accelerate our growth guidance for this coming year. Again, we focus on what we do well. We focus on building the celebratory ecosystem, adding Shari's Berries is a good example of that. It provides us operating leverage and Bill can speak to that a little bit more. And again, we've upped our guidance now several times last year, and we've upped the guidance again this year now in the 8% to 9% range. So we think, we're in a really good position to not only continue the growth momentum we have, but to accelerate the bottom line results that we've been producing.
William Shea: Yes, Dan. We think our -- we believe our guidance is very strong with the 8% to 10% bottom line guidance that we provided. Remember, it absorbs the impact of a tight labor market and the seasonal labor cost that as we bear. It includes the impact of tariffs both the carryover impact of last year's tariff, as well as the contemplated tariff at September 1 and December 15 of this year. With the guidance that we provided, with the 8% to 9% overall growth and organically, 6% to 7% and specifically then with Shari's, we really didn't up our guidance -- bottom line guidance with regard to Shari's at this point in time. As Chris described, we're repositioning the brand. We want to position this brand for long term, both top line growth and long term profitable growth in line with where we -- where our Gourmet Food & Gift Basket segment operates. We have to absorb the deal costs and the startup costs associated with Shari's this year. So we haven't upped the bottom line guidance over what we probably would have done even without the Shari's acquisition. So we are showing some leverage on the organic growth that we provided.
Christopher McCann: And that's -- to your point on the guidance of Shari and not really adding anything more to it at this point, had the business now since last Wednesday. So it's based on what we know now. As we move forward, if we see more opportunity, you can rest assured we're going to go after it.
Daniel Kurnos: And so just to be clear guys, on a longer term trajectory, you still see leverage in the business and being able to sustain sort of an elevated growth rate.
William Shea: Yes.
Christopher McCann: Yes.
Daniel Kurnos: All right, fair enough. Thanks, guys.
Operator: Our next question will come from Anthony Lebiedzinski with Sidoti and Company.
Anthony Lebiedzinski: Good morning, and thank you for taking the question. So just a follow-up on Shari's Berries. I was just wondering, if you guys can comment on the seasonality of the business that you expect. Is it going to be similar to the rest of the GFGB business or not? And also in regards to Shari's Berries, just wondering how many incremental customers did you guys pick up, thanks to the acquisition?
Christopher McCann: So the seasonality is not exactly like, it's more like the floral business than it is to gourmet food gifting business, and that's been built the way it's been managed. You get your holiday spikes more around Valentine's Day and Mother's day than you do around holiday season. So the seasonality is more geared towards Floral than Gourmet food. And I think as we look at that business, we will determine the seasonality curve as well. Again, as I mentioned, some of the unprofitable marketing that we saw in our business was really done at holidays, just trying to drive peak demand for growth sake. We won't chase good demand like that. You've seen that from us in the past, you see us be very disciplined in the growth that we get. So you won't see us doing going after that same type of crazy holiday growth rates.As far as looking at the number of customers, it's a couple of million customers that come with list. Now, we really need to go through that and understand the profiles of those customers. How many of those customers are really profitable customers? So that speaks to some of the partnerships that I mentioned. How many of those were Groupon customers, that are not repeat customers, etc. that are just discount chasing customers? So on the long term basis, we need to do a lot yet to see how much of that customer file is core. One of the early signs that we are encouraged by, is that while there is some overlap with our enterprise wide customer base, it's similar to when we acquired Harry & David. There's enough overlap to tell us these customers can be migrated to multi-brand customers, but not too much that there's still a lot of opportunity for us to do so. So we're pretty encouraged from that perspective looking at their customer file.
William Shea: Yes. And not that the holidays are not important for this business, they clearly are -- but like with all our businesses, we are emphasizing every day -- every day gifting within this brand.
Anthony Lebiedzinski: Got it, okay. That's very helpful. And Bill you commented on the rising labor rates is impacting your costs. Also, so just wanted to get a better sense as to the impact of that? And are there any other cost issues, you mentioned tariff, tariff is also affecting you? I was wondering, if you perhaps could quantify the impact of the tariffs as well?
William Shea: Like all businesses, we are dealing with a tight labor market and rising labor rates because of the seasonal nature of our business and the fact that we bring on so many seasonal employees. It does have a decent size impact on our business. We've increased our hourly wages where necessary. We have lots of programs to attract and retain our seasonal workers from product discounts, special sweepstakes, retention bonuses, travel vouchers, etc., because it's better for us to get the repeat seasonal worker because it improves our productivity. We've included this incremental cost on labor in our guidance. Just as we've included in our guidance, the impact of the tariffs, again, both last year's tariffs and the full year impact of last year's tariffs, as well as the contemplated tariffs, as we announced effective September 1 and December 15, both these impacts I mean the multi-million dollar range on year-over-year cost...
Christopher McCann: And included in our guidance.
William Shea: But they are included in our guidance.
Anthony Lebiedzinski: Got it, okay. Thanks for that. And lastly, when I look at your organic revenue guidance of 6% to 7% growth. Is that expected to be more or less kind of evenly spread across your main segments or do you anticipate perhaps some of your -- one or more of the segments to grow faster than the others?
Christopher McCann: Yes. I think, we were remarkably consistent throughout the year with our growth rate, previously we reported our first-three quarters and the first half of the year, we grew at 8.4%. The second half of the year, we grew at 8.4% and we grew at 4.1% in Q3, and 12.8% in Q4 because of the Easter shift. Overall, if you back out, you back out the impact of the Easter shift both those quarters grew at kind of the annual rate. So this past year we grew at about 9% in consumer Floral, we grew about 7% in Gourmet Food business and we grew 15% in BloomNet from that perspective. And remarkably, it was pretty consistent throughout the year, especially on the direct-to-consumer brands. As we move forward this year, we are expecting nice organic growth within all three of our business.
William Shea: Fairly consistent in that up mid-single digit range.
Anthony Lebiedzinski: Got it, okay. Well, thank you so much. Best of luck.
Operator: [Operator Instructions] We will now hear from Alex Fuhrman with Craig-Hallum Capital Group.
Alex Fuhrman: Great, thanks very much for taking my question. It looks like you had a really big increase in new customers in the fourth quarter, more so than in prior years. Curious, what specifically has been driving that if there is more so on the Gourmet food side of the business or the Floral side, or if that was pretty, pretty even between the two segments?
Christopher McCann: Yes. So overall from a -- that's been one of our key focuses for the year, as you're aware, is to drive new customer growth. And for the year, we drove double-digit customer growth across the brands and especially to 1-800-Flowers and Harry & David brands. Specific to Q4, I think part of that probably would be some of the Easter shift, that would move in there. But then also it would be mainly driven by the Floral business during the Q4.
Alex Fuhrman: Okay, that's helpful. And then just a couple more sort of follow ups on Shari's Berries, should we expect to see some type of an acquisition related charge here in the first quarter related to closing that deal? And then just as you think about relaunching the brand, they're going to be any investment costs that we should expect to see over the course of the year as you position that brand for further growth?
William Shea: Yes. Again, our guidance and that is the reason we didn't up our plan guidance of 8% to 10% EBITDA growth beyond that with the Shari's acquisition, so we had absorbed that.
Christopher McCann: And no acquisition charge.
Alex Fuhrman: Okay, that's very helpful. Thank you.
Christopher McCann: It includes deal cost and everything else.
Operator: Hey, Mr. Fuhrman, do you have anything further?
Alex Fuhrman: Nope, that's it. Thank you very much.
Operator: Thank you. We'll now hear from Michael Kupinski with NOBLE Capital Market.
Michael Kupinski: Thank you. Just a last hopeful question on Shari's Berries. If I -- I know that you are maintaining your fiscal '21 guidance at $100 million, but would you expect that Shari's Berries will have a contribution to EBITDA by 2021?
William Shea: Yes.
Christopher McCann: Yes. We would.
William Shea: Yes.
Michael Kupinski: And then -- I'm sorry. Just going -- talking a little bit about the Consumer Floral business again. I know that there's a heightened expenses related to the heightened competition possibly for search words and so forth. I was wondering, if you have any visibility on whether or not that is kind of waning a little bit or you still see those types of competitive pressures? Just kind of -- I'm wondering if you're starting to anticipate that there might be some sort of moderation in the expense there?
Christopher McCann: So the Consumer Floral is still a very competitive space and it's continued through the last set of holiday seasons, even through into the summer. From a competitive point of view, but also, Michael, I think to your point, rising ad costs are a factor as well. So it's really, on us to really make sure that we're driving efficiency in our marketing programs. We're very happy with what we've seen, especially in our investments, in the new customer acquisition and the customer acquisition costs that we've gotten from the Flowers brand. And that's why we've stayed with that, bringing in that number of new customers to really bolster the file that helps us now migrate more people into the Passport program, multi-brand customers, etc. So we're continuing to do that and continuing to keep our foot on the pedal, on customer acquisition, on Flowers, even though there are some heightened costs there because we're seeing the effectiveness of it.
Michael Kupinski: Got you. And then the elevated spin in technology in development is due to your investment conversational commerce and such. Will that spending moderate as we go into fiscal 2020?
Christopher McCann: We look at the technology spend we're an e-commerce first driven business and that requires a lot of technology spend. I think you've seen our technology spend fairly stable for the last several years. And I would expect, it will remain in that range. It really is one of the things that differentiate amongst the competitors and a leader in technology and transformational technologies like you mentioned conversational commerce.
Michael Kupinski: Most definitely. And I'm sorry if I missed this, but can you give me the cap spend for this quarter and what do you project capital expenditures to be in fiscal 2020?
William Shea: Yes. So cap spend last year was a little over $32 million, Mike. If you want to talk off-line, I can give you the quarterly breakdown of that. It is -- if it is a decent spend in the fourth quarter as we start prepping to the summer months. So fourth quarter, first quarter, a little higher spend getting ready for the next holiday season. We expect cap spend to be up a little bit next year, as we continue to look at automation initiatives within our distribution centers to help address some of the seasonal labor issues that we've talked about.
Michael Kupinski: Perfect. That's all I have. Thank you.
Christopher McCann: Thank you, Michael.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Chris McCann, CEO, for any closing remarks.
Christopher McCann: Well, thank you, everyone for joining us and thank you for your questions. If you have any further questions, by all means, please follow up with us. And if I could urge you all to just please -- yes, we're very excited about the new acquisition of Shari's Berries and we encourage you to try the product and support the Berries business. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation.